Operator: Good afternoon. At this time, I would like to welcome everyone to the Postal Realty Trust Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. I’ll now turn the call over to Mr. Blaine Willenborg, Vice President of Business Development and Capital Markets. Please begin your conference.
Blaine Willenborg: Thank you. Good afternoon, everyone, and welcome to the Postal Realty Trust second quarter earnings conference call. On the call today, we have Andrew Spodek, Chief Executive Officer; Jeremy Garber, President; and Matt Brandwein, Chief Accounting Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements that are not historical facts and are considered forward-looking, including, among others, statements related to the COVID-19 pandemic and its effects on our business, the terms and timing of our pending acquisitions and the status of our ongoing negotiations with the Postal Service. These forward-looking statements are covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those described in the forward-looking statements and will be affected by a variety of risk factors that are beyond the Company's control, including, without limitation, those contained in the Company's 10-K filed on March 27, 2020, and its other Securities and Exchange Commission filings. The company does not assume and specifically disclaims any obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, on this conference call, the company may refer to certain non-GAAP financial measures such as funds from operations and adjusted funds from operations. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP measures in the Company's earnings release and in filings with the Securities and Exchange Commission. Additional information may be found on the Investor Relations page on our website. With that, I will turn the call over to Andrew Spodek, Chief Executive Officer of Postal Realty Trust.
Andrew Spodek: Good afternoon, and thank you for joining Postal Realty Trust's second quarter 2020 earnings call. As the country begins to advance into different phases of reopening, we hope you and your loved ones continue to stay safe. We would also like to thank all the first responders and Postal Service employees for their hard work and commitment since the pandemic began. Our company is currently maintaining an optional work from home policy, as we want to respect what is best for each of our team members and their safety. I am pleased to report our company produce strong results in the first half of the year. As a team, we've been able to maintain our health and well-being throughout this crisis. In addition to this, the pandemic has not had any impact on our businesses’ stable revenue stream. Our rent collection remain unchanged with receiving 100% of our rents in July, as we have every month since our IPO. As a result, we've been able to raise our dividend every quarter. In July, we raised our dividend by 2.5% to $0.82 per share on an annual basis. Our acquisition activity in 2020 has continued to show progress, having closed on approximately 200 properties for approximately $65 million and over 585,000 net leasable interior square feet, all within our stated average cap rate range of 7% to 9%. As we previously communicated as a result of the pandemic, we proactively and prudently paused our pipeline in the second quarter and took this opportunity to amend our line of credit and successfully completed our first follow-on equity offering. We resumed our acquisition activity in the third quarter, and even with the slowdown we are on pace to achieve our acquisition goal of $100 million for 2020. Our continued ability to access the capital markets, amend our credit facility and execute on our acquisition plan in the current environment further highlights the strength of our business model. Having now reported four quarters, and it has been extremely rewarding to see our pre-IPO thesis play out firsthand. We welcome our new shareholders that joined us through our first follow-on and thank our initial shareholders for their continued support. We are very much aligned with you. The Board and I are deferring 100% of our cash salaries for 2020 and remain committed to growing shareholder value. I will now turn the call over to Jeremy to discuss our second quarter results.
Jeremy Garber: Thank you, Andrew. And thank you all for joining us this evening. Turning to our financial results, we reported a GAAP net loss of approximately $150,000 in the quarter. FFO for the quarter was $0.23 per share, which includes acquisition related expenses of approximately $50,000. AFFO for the quarter was $0.26 per share. Moving on to the balance sheet, at June 30, 2020, we had $4.9 million of cash and [$84.3] million of debt. During the quarter, we amended our credit facility to allow additional properties to be eligible to the borrowing base and increase the advance rate on our properties from 50% to 60%. We also entered into two mortgages during the second quarter, the first closed in April and was for $4.5 million on 13 properties. The second closed in June for $9.2 million on 22 properties. Both mortgages carry a fix 4.25% interest rate, our interest only for the first 18 months and mature in 2040. In the quarter, our weighted average interest rate on all of our debts was 2.35% at the end of the quarter, with a fixed charge coverage ratio of 5.6 times and a net debt to adjusted EBITDA ratio of 6.2 times. After the quarter ended, we completed a follow-on equity offering the proceeds from the offering were $52.2 million and were used to pay down a portion of our line of credit and to acquire additional properties. We estimate that the combination of additional capacity on our line of credit and our equity raise offers us in excess of $100 million of acquisition capacity before consideration for any OP unit transactions. After the close of the second quarter, we acquired an additional $23.4 million of assets. The acquisitions are comprised of 98 buildings with approximately 250,000 interior net leasable square feet. We currently have $3.7 million in definitive agreements, the majority of which are expected to close by the end of the third quarter. As Andrew shared, we are on pace to reach our $100 million acquisition targets for this year. Our property cash flows and acquisition activity provide the fuel for our quarterly dividend. On July 30, the Board declared a quarterly dividend of $0.205 for the second quarter, which equates to $0.82 per share annually or 2.5% increase. This is our second dividend increase in 2020, and our fifth dividend increase since our May 2019 IPO. I wanted to take this opportunity to provide some additional color on our business, as we have now been public for a year. As Andrew mentioned earlier, on July 20, we closed on our first follow-on equity offering, where we sold 4,021,840 common shares, bringing our total shares and OP units outstanding to 12,355,084, and our weighted average shares and units outstanding for the quarter to approximately 11.5 million. Let me turn out to an update on leasing. As we have previously shared the Postal Service rolled-out or new lease form that we have been negotiating. We have a letter of intent on 80 of 90 properties with lease expirations in 2020 or prior. Of the 10 remaining expirations 6 are from new acquisitions this year. We are working diligently with USPS to get all these resolved by the end of the year. We would like to provide additional perspective on our rental revenue, which increased 8% from last quarter to $4.6 million. For the 19 properties acquired in the second quarter, the partial quarter rent was $155,000 and would have been $220,000 if all the transactions closed on April, 1. Tenant reimbursements comprised of real estate tax reimbursements for approximately $653,000 for the quarter. This line item will typically increase in tandem with our real estate tax expense, because the majority of our leases require reimbursement for real estate taxes. Through acquisitions, we’ve inherited properties that do not provide the reimbursements of taxes. Currently this equates to a $45,000 quarterly mismatch of tax reimbursement. As we continue to acquire, there may be properties where the taxes are not reimbursed. As these leases roll, we are hopeful to be able to adjust the lease terms for tax reimbursement. With respect to fee and other income, the majority comes from our property management income via TRS. This line item may vary because of one-time other income item. In the second quarter, this line item included an incremental $50,000 from an insurance claim that we do not expect to recur. Moving to expenses, total expenses in the quarter were $5.2 million versus $5.4 million for the prior quarter. G&A in the quarter was $1.9 million as compared to $2.3 million for the prior quarter. Our G&A is comprised of three components and we think it is important to understand each. The first is what we call recurring G&A that includes our salaries, bonuses, benefits, rent, and other public company costs. This amount for the quarter was $1.3 million. This does not include incremental professional fees related to substantial growth in our portfolio. We anticipate this to be relatively flat for each of Q3 and Q4. The second component is our equity based compensation, which for the second quarter was approximately $535,000. We anticipate this figure will be in the range of approximately $550,000 to approximately $600,000 for each of Q3 and Q4. Finally, the last component which can vary based on our transactional activity, our expenses associated with acquisitions. In the quarter, those costs were approximately $50,000. We believe that for modeling purposes $100,000 to $150,000 is appropriate for each of Q3 and Q4. Interest expense in the quarter was approximately $660,000 down 20.7% from the first quarter of 2020 due to interest rate decline and a decrease in our unused fee. This figure includes our line of credit and interest, our used fee, our fixed mortgage interest and our non-cash financing costs. Our recurring CapEx for the quarter increased in Q2, 2020, and we expect it to continue to go up as we acquire more properties. This quarter it was approximately $125,000 or $0.28 per square foot on an annualized basis. We believe this additional detail provides a more refined framework for how we are currently looking at the business for the remainder of the year. As we approach 2021, we may update some of these items as our business progresses in its second year of operation. I will now turn it back to Andrew for some closing remarks.
Andrew Spodek: The Postal Service remains as resilient as ever through the current crisis. They deliver medications, social security checks and other necessities and as the leading last mile delivery service for online purchases, proving to be a key essential business. We have received all rents for our 100% occupied portfolio. Recently, there have been numerous news stories around the Postal Service, mostly surrounding their balance sheet and cash flow issues. We understand that articles such as these can raise questions and we want to provide perspective on two main points. The first is the critical importance of the network of facilities to the delivery industry and the American people. The Postal Service is currently the third largest employer in the United States, employing over 600,000 people and delivering to 160 million delivery points every day. The Postal Service has and continues to enable millions of Americans to stay and work from home. This new adjustment that has become the norm to so many people, and would be far more difficult had it not had the daily commitment of the deliveries by the Postal Service. The second is the importance of the network of post offices to the Postal Service. With total gross rent accounting for only 1.3% of their annual expenses. The network is a very small cost that is the backbone of the entire business itself. This network of facilities ensures the postal services last mile delivery dominance is because of this network that all Americans have comfort in knowing they can receive mail or any online purchases wherever they choose to live. Though the postal service may have its competitors, none have the infrastructure in place to compete in this regard. In closing, all of our hard work is clearly aimed at growing both our company and shareholder value. Jeremy and I extend our gratitude to the team for their accomplishments and to our shareholders for their support. We would now like to open the call to any questions.
Operator: Thank you. At this time, we'll be conducting a question and answer session. [Operator Instructions].Our first question comes from the line of Rob Stevenson with Janney Montgomery Scott. Please proceed with your question.
Robert Stevenson: Hi, good afternoon or evening, guys. Andrew, can you talk a little bit about the -- what the acquisition pipeline looks like behind the $3.7 million you have under agreement? Any portfolio deals there, any sense that people are being motivated by potential changes in the [1,031] exchange rules et cetera?
Andrew Spodek: Sure, Rob. So as we've articulated, we've completed approximately $65 million as of today, and are well on our way to accomplish our goal of $100 million for 2020. We have approximately $40 million in various stages of LoI contract and diligence and we're hoping to close the lion's share of those by the end of the year. In terms of sellers and motivations, we've been getting a tremendous response from the seller community, motivated by a lot of things, some of which is probably the 1,031 exchange in the upcoming elections.
Robert Stevenson: Okay. And is there any significant portion of the deals that you're talking to right now involving OP units or most people just wanting cash at this point?
Andrew Spodek: We are constantly in communication with various owners and families that are interested in the use of OP units as it means of currency, but we don't have anything specifically in the pipeline that that is attributable to the use of units.
Robert Stevenson: Okay. And then any assets currently the two that are known move outs for the post office at this point or you expect that everything to -- the post office to renew everything at the moment?
Andrew Spodek: As of right now we're 100% occupied, we don't expect any vacancies for 2020.
Robert Stevenson: Okay, and then one last one for me. Jeremy, what was -- what prompted the sort of SEC filings this morning on registration stuff?
Jeremy Garber: From this morning or this afternoon?
Robert Stevenson: Well, it's look like it hit the line around 9 ‘o'clock or something this morning on my system, but I'm just curious as to see like it was revolving around the equity offering. I mean, is that -- what was -- what's the gist when it boils down from those SEC filings?
Jeremy Garber: I'll turn it over to Matt to comment on the filings. I didn't -- we didn't see a flurry, so I'm not -- let I'll let Matt comment.
Matt Brandwein: Hi, this is Matt. I'm not aware of any filings that we're coming across this morning, as it relates --
Robert Stevenson: Was that SEC released -- SEC correspondence, it seemed like it was mainly dealing with registration statements. And it was looked like on the EDGAR system or whatever, there was, like six of them or whatever, this morning and so, around 9:05 a.m. So I was just curious as to what was prompting that?
Matt Brandwein: I will follow up offline. If that's easier.
Andrew Spodek: Yes. Let's do that if you don't mind.
Robert Stevenson: Okay. Thanks, guys. Appreciate it.
Andrew Spodek: Thanks. Thanks, Rob.
Operator: Thank you. [Operator Instructions]. Our next question comes from line of Michael Gorman with BTIG. Please proceed with your question.
Michael Gorman: Yes, thanks. Good evening. Andrew maybe just to follow up on the acquisition pipeline and the OP units specifically obviously the capital markets have been pretty choppy. Can you just talk about your appetite for OP unit deals here obviously the stocks moved up pretty nicely from the offering price versus the seller appetites for OP units in the conversations that you're having?
Andrew Spodek: So the OP unit currency is very valuable to certain families of which are very typical in the postal space. The owner that's owned their assets for decades have very little or no depreciable basis and no shelter of their income, and a sale would trigger a big capital gain. And so, we continue to have a lot of interest in using those units for currencies. But, these transactions are typically complicated with various family members involved with different motivations and different things, and so they're not as quick and efficient as everybody would like. We do have an appetite to do those transactions and we believe the owner and seller, community does have an appetite as well.
Michael Gorman: Okay, and then maybe just sticking with the acquisitions, can you speak to the 98 that you closed after the quarter end has it bit of a smaller footprint than the deals that you've done your data than the existing portfolio? Understanding there's the thematic aspect, do you guys look at -- or how does gross interior square footage play a role in your underwriting or as you think about the construction of the portfolio?
Andrew Spodek: So every deal has to speak for itself. And we evaluate and underwrite each deal very, very specifically. And so, I don't think that there was anything terribly different as it relates to the portfolio's that we closed this quarter than the quarters prior. Sometimes the just by nature, if there's a group of buildings that were built or owned by a particular family or owner they may be similar in size or have a concentration in a particular state because that's where the owners were based. But when you look at it overall, they fall within our general parameters.
Michael Gorman: Okay, great. And then maybe Jeremy one last one on the mortgages that were done in the quarter, both at the same interest rate, were there any other differences in terms of the [LTVs] equivalent or anything different between the two mortgages, the one in April and the one in June?
Jeremy Garber: No, they're with the same provider, so all terms are consistent.
Michael Gorman: Great, thank you very much.
Andrew Spodek: Thank you.
Operator: Thank you. Our next question comes from line of Frank Lee with BMO Capital Markets. Please proceed with your question.
Frank Lee: Hey, good afternoon, guys. Hi, Andrew. For the acquisition closed in the third quarter, can you talk about how pricing compared versus the deals they've done early in the year prior to the pandemic, and if any OP units were issued to help fund the deals? Thanks.
Andrew Spodek: Thanks, Frank. The pricing fell within the parameters that we look at. So that that -- those parameters are still in the 7 to 9 cap rate range. They don't vary drastically for deals that we did prior to the pandemic. We do see some slight pricing changes, but nothing really drastic. Again, we really try to look at every deal and every transaction in their specific way. And so there's nothing terribly unique about the ones that we closed versus the ones we have in the pipeline versus the ones that we closed the quarter prior.
Frank Lee: Okay, and then second question has, now that you've completed the follow-on and cemented the credit facility, how should we think about using [proper] level mortgages to help fund your growth plans?
Andrew Spodek: So for the time being, we're going to be mostly utilizing our line of credit. The interest rate environment is such that it's a very, very compelling rates and it's the easiest and most efficient way to execute on our growth plan. As we continue down the road and continue to be acquiring properties. We are looking at putting specific mortgages on either properties or pools of properties, but this is not something that we're undertaking right now.
Frank Lee: Okay, that's all I have. Thank you.
Andrew Spodek: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from line of Craig Kucera with Wunderlich Securities. Please proceed with your question.
Craig Kucera: Yes. Hi, good evening, guys. I just want to circle back to the commentary on the leases that are still sort of being negotiated and work through the language with the USPS. I guess in late June, I think about 1,000,009 was sort of on a month-to-month basis, it sounds like and that was with 43 leases. Do you have a sense of what the current rent is on those, I think you mentioned 80 to 90 were, you sort of had an LoI on?
Andrew Spodek: So just to clarify before Jeremy gives you the dollar amounts, we have agreed to lease terms and we're in the process of just processing and turning around documentation on those leases. While that is happening, we are being paid our rent, there are no arrears. And there has been no notification of any reason not to renew or have any vacancies for the year. So this has been more of an administrative paperwork processing than anything else.
Craig Kucera: Did -- the process then improve from where we were a quarter or so ago as far as the language where are we still sort of in the same place?
Andrew Spodek: So the things have improved in that we've agreed to language now it's just a matter of processing all the documentation to fully execute leases. It's -- the Postal Service is still a government agency. This is still a relatively new process for them and for us and so there's quality control on all ends and so this just doesn't happen as quickly as we would like it to.
Craig Kucera: Okay. And I guess while we wait for Jeremy. I guess do you have any thoughts on the -- what's in terms of the sort of a Friday night [massacre] that occurred last Friday at the post office where a number of senior level officials were let go, is your thoughts currently on what's going on?
Andrew Spodek: So in general, I tried not to apply on the postal service and the way they operate their business. What I do believe, is that when a new Postmaster General comes in, they have their own ideas and thoughts on what needs to be changed and typically that that translates into employment changes. So I'm very hopeful and confident that the new Postmaster General will be looking at the post service as a business and try to effectuate changes to make it better for the American people. He's a person that comes from the private sector and has experience in the logistics business and hopefully the advantage point will be helpful once he applies it to the postal service. More than that I can't speak to the particular people that were let go or why they were.
Craig Kucera: Okay, that's my last question, Jeremy. If you don't have it, I can circle back to this evening.
Jeremy Garber: Yes. All right. I do. So the value of the leases in holdover currently is around $2.4 million.
Craig Kucera: Okay, great. Thanks guys.
Jeremy Garber: In annual rent.
Craig Kucera: Right.
Operator: Thank you. Ladies and gentlemen, that concludes our question and answer session. I'll turn the floor back to Mr. Spodek for any final comments.
Andrew Spodek: Thank you very much. On behalf of Jeremy and myself and the entire Postal Realty Trust team, we just want to thank you for joining us today. We hope everyone out there is safe and healthy during these unprecedented times.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.